Operator: [Abrupt Start] Q1 2022 Allegiant Travel Company Earnings Conference Call. My name is John, I’ll be the operator for today' call. At this time, all participants are in listen-only mode. Latter, we will conduct un-see question-and-answer session. [Operator Instructions] As a reminder, the conference is being recorded. And I will now turn the call over to Sherry Wilson.
Sherry Wilson : Thank you, John. Welcome to the Allegiant Travel Company’s First Quarter 2022 Earnings Call. On the call with me today are Maury Gallagher, the company's Chairman and Chief Executive Officer; John Redmond, the company's President and incoming Chief Executive Officer; Greg Anderson, our EVP and Chief Financial Officer; Scott Sheldon, our EVP and Chief Operating Officer; Scott DeAngelo, our EVP and Chief Marketing Officer; Drew Wells, our SVP of Revenue and Planning; and a handful of others to help answer questions. We will start the call with commentary and then open it up to questions. We ask that you please limit yourself to one question and one follow-up. The company's comments today will contain forward-looking statements concerning our future performance and strategic plans. Various risk factors could cause the underlying assumptions of these statements and our actual results to differ materially from those expressed or implied by our forward-looking statements. These risk factors and others are more fully disclosed in our filings with the SEC. Any forward-looking statements are based on information available to us today. We undertake no obligation to update publicly any forward-looking statements, whether as a result of future events, new information or otherwise. The company cautions investors not to place undue reliance on forward-looking statements, which may be based on assumptions and events that do not materialize. To view this earnings release as well as the rebroadcast of the call, feel free to visit the company's Investor Relations site at ir.allegiantair.com. With that, I'll turn it over to John Redmond.
John Redmond : Thank you, Sherry, and good afternoon, everyone. Our dedicated and passionate team members are the reason for the stellar results and industry-leading margins we are reporting today. To come out of the throes of Omicron, 600 weather cancellations out of 1,800 total cancellations, ATC issues and high fuel and still produce a 10.7% and 1.4% EBITDA and operating margins, respectively, is rather amazing. This spring was the busiest and best spring in the company's history, and this incredible demand continued into April and chose no end. Very strong load factors, especially March at 87%, helped offset the run-up in fuel prices and those high load factors are now expected to continue through the year. Again, I can only say thank you very much to each and every team member. Our priority for the rest of the year is operational integrity. It is paramount, not only for our guests, but our employees, our long-term vision and our brand. Our business model and DNA have always been to match capacity with demand and fuel prices. We have shown over the years, no one in the industry is better at it. Our Q2 guidance reflects this imperative adjusting our capacity to up roughly 12% year over 3 year and total operating revenue increase of roughly 30% year over 3 years. 2022 is a foundational year for our company. Significant investments are being made in various initiatives, including IT, that will set us up well into the future and drive focus to where it matters most, continuing to differentiate our business model, improve the customer experience and interaction with Allegiant and, of course, drive more revenue streams. Strategic initiatives don't happen overnight, but the benefits can be transformational. Always Allegiant World MasterCard was an initiative that launched in 2016 and is really starting to hit its stride helping to drive total average fare. The cash benefit of the card was $53 million in 2021. We have roughly 320,000 cardholders to date, which will further accelerate in the out years given our partnerships, relationships and resorts. Our credit card, along with our Always Rewards program are intended to increase share of wallet through greater interaction with the Allegiant Travel portfolio. Our joint venture with Viva Aerobus is a piece of that foundation that is being laid this year. But for that relationship and other IT initiatives, we would be years off entering the Mexican leisure market and the financial benefits would not have been the same as our joint venture. Sunseeker, of course, started in 2017 and after a pandemic interruption will be completed over the next year. That project in turn, will lead to further asset-light opportunities. We have our work cut out, but our team members are up to the challenge. All of these initiatives will set the foundation for Allegiant 2.0, even with all the foundation work being done, we should still end the year with total liquidity in the neighborhood of $1.1 billion. With that, I'll turn it over to Scott Sheldon.
Scott Sheldon: Thank you, John, and good afternoon, everyone. Before I get into the first quarter themes, I'd first like to thank you from this management team and to all of our customers, team members and partners through out the network. This continues to be an incredibly unpredictable time and we were certainly not immune to the impact Omicron had on our operations in late December and the residual impact for most of the first quarter. We had claims position, crudes position. The planning team did an outstanding job aligning peak holiday capacity with our internal capabilities. And unfortunately, over a 30-day period starting December 20, we canceled nearly 1,000 flights or over 12% of our schedule. We went from having 20 folks offline due to COVID over 400 in a 10-day span. Perhaps more importantly, was the longer-term impact on our frontline training pipelines and the training needs to train and deploy team members throughout the network to meet future scheduling needs. Before I get into pilots, which is clearly dominating the headlines these days, I want to take a minute to talk about operational trends. Historically, we prided ourselves on leading the industry in a controllable completion factor and targeting high 70% on-time performance. Unfortunately, we're falling short of these targets in this current environment, some reasons being self-inflicted, some being very much out of our control. Looking back at full year '21, we led the industry in being the only carrier to exceed 2019 capacity levels, which drove an incredible 17% adjusted EBITDA margin. We are best positioned to take advantage of the leisure recovery cycle. We made a conscious decision to keep as wide as a selling net as possible, but it did come at a cost that's reflected as us being lasting completion and on-time performance. Clearly, we have lots of work to do. Fast forward to today, our network is simply much more complex than this first than it was in first quarter of '19. Year-over 3-year departures are up 13% on crime-based growth and aircraft growth of approximately 50% and 40%, respectively. During the quarter, we opened two new bases Appleton and Influent [ph] which brings our total to 23 up from 15 in 2019. We plan on opening our 24th base in Provo this fall and pre-pandemic environment, many of these attributes that give us operational and commercial advantages in these small markets or headwinds today, small bases, which are loosely defined as 5 aircraft or less are highly dependent on a certain level of labor stability and are more or less relied upon to operating stand-alone entities. There's a high degree of focus on dispatch reliability and labor consistency, particularly our flight crews. Without labor consistency, we will be challenged to drive substantial improvements in performance, which is undoubtedly our key focus as we move into summer. Moving on to pilots, pilot staffing and pilot nutrition. We are seeing some of the same themes as our industry peers with perhaps a slight difference. We continue to be successful in bringing on quality applicants. Since July of last year, we've hired over 200 pilots through April, and our May and June classes are already filled to target levels. That would bring our total hiring levels to nearly 250 pilots, which was just short of our projected 270 target need for summer flying 2022. Attrition levels on the other hand, are elevated above historical norms and have impacted our first officer ranks the hardest. Year-to-date, we've lost 8 crew members to other carriers, primarily to legacy carriers and 123 total since May of last year. And the last thing I'd like to touch on is our efforts to ratify a new contract with our pilots. It's our number one focus, and it's critical to stabilizing our current workforce and to meet the demands of the airline as we look into 2023. Given the attrition trends we were seeing in mid fourth quarter of last year, we made a substantial effort to expedite the framework of a new deal. Since January, we passed four comprehensive proposals that touch on everything from rates, rate guarantees, retirement, scheduling, work rules, quality of life enhancements and investments in virtually every stock crew members interface with daily. It's an unusual approach for sure and is no way meant to short change the process as our pilots are critical to the success of this company, and we hope to have something positive to report in the near future. In closing, I'd just like to thank our team members and partners. Once again, your patience and preserverance in this environment has been tremendous, and we are here to support your efforts to help make this the premier leisure brand in the travel space. We've always prided ourselves on being ultra flexible and taking calculated risks. This year will be no different, and I know we'll take some lumps. That being said, we feel we struck the right balance to drive operational performance while maximizing earnings potential, and we look forward to a successful summer. And with that, I'll turn it over to Scott Dean.
Scott DeAngelo: Thanks, Scott. On the commercial side, first quarter saw historic highs for Allegiant in terms of build web traffic to allegiant.com and passenger segments booked total visitors to our website were up by more than 25% in the quarter versus 2019, with repeat visitors being up by more than 10% and first-time visitors being up by more than 50%. Most notably, visitors coming to allegiant.com did so by directly entering the URL or by using our mobile app. Users coming that way were up by more than 80%. This speaks to the ever-increasing awareness levels for our brand. More people know about us, and they're coming directly to us at allegiant.com. The number of passenger segments booked in Q1 was 35% more than in 2019, and we achieved our highest ever trailing 7-day moving average in passenger segments book on two separate occasions in the quarter. Moreover, this demand for leisure travel shows no sign of slowing down, as the number of visitors who came to our website in March to conduct flight searches for travel in April through November was up by 150% to 250% compared to 2019 levels for the majority of weeks in that travel time period. And while bookings from customers of all ages showed increases on a year-over 3-year basis, most in the 15% to 20% range, customers 65 years and older showed dramatic booking increases at more than 60% above 2019 levels. This is great news that this age group represents our most frequent travelers, many flying between a primary residence and the vacation home. In addition, as we saw in the past two quarters, third-party revenue growth continued to outpace passenger and passenger revenue growth exceeding 2019 levels by more than 30%. This continues to be driven by our Allegiant 2.0 approach of enhancing our web and app experience to make it easy for our customers to buy more of their leisure travel needs from us and by enhancing the breadth of our leisure travel offerings at allegiant.com. That said, the always Allegiant World MasterCard was once again the prominent driver, having its strongest three months ever in terms of new card sign-ups, average spend on the card and total compensation to Allegiant. Each month of the first quarter successively set the record for new card sign-ups. For the quarter, new card sign-ups were up by nearly 100% and compensation to Allegiant was up just over 130% versus 2019. In closing, the historic high demand we saw in the first quarter for capacity levels at higher than both 2021 and 2019 appears to be structural, not simply fleeting pinup demand or revenge travel, at least for the foreseeable future. It's broad-based across all the markets we serve for all upcoming travel periods we're selling into, and it's coming from both repeat customer growth, which we believe speaks to the effectiveness of our loyalty programs and first-time customers, which we believe speaks to the growing awareness of and preference for our Allegiant brand of low fare and all non-stop travel. And with that, I'll turn it over to Drew.
Drew Wells: Thank you, Scott, and thanks, everyone, for joining us this afternoon. The cadence of revenue performance since the midpoint of the first quarter has been the best I've ever seen. We have been TRASM [ph] positive for eight consecutive weeks with line of sight to many more against comparable 2019 weeks. The first quarter finished with total revenue 10.7% ahead of 2019, on system ASMs of plus 18.2%. Better-than-expected close-in bookings, Superior Always Allegiant World MasterCard performance, as well as an extraordinarily robust March Madness fixed fee program drove us above the guided range. The month of March was the mic drop month we have waited over 2 years for now. Despite growing ASMs by over 14% in the month, our boarded load factor of 86.5% and TRASM $0.1286 [ph] both exceeded March 2019. The incredible March madness resulted in the best 1Q fixed fee revenue total in company history and the third best month. The $500 million in total revenue for the quarter was the first time we've exceeded that milestone. Our REV and loyalty teams have continued to drive immense ancillary success, which in turn make the load factor performance significantly more powerful. The $68 per passenger represents a 17% increase over first quarter 2019 and the second best quarter in company history, trailing just 4Q '21. As excited as I am about March's performance, the second quarter looks even better. We are guiding total revenue growth of plus 28% to plus 32% over second quarter 2019 on scheduled service ASMs of plus 10% to plus 14% and system ASMs of plus 9% to plus 13%. This implies a double-digit PRASM growth on double-digit ASM growth and total revenue in excess of $600 million. April continued march of success and posted a load factor beat of over 4 points versus 2019. And as I mentioned, all weeks were TRASM positive. We haven't finalized everything, but I expect the months TRASM and plus mid-teens. While we are seeing solid performance in the off-peak weeks, the peak periods are where the real upside is on display, and I expect June to have the best year over 3-year performance in the quarter. While I mentioned TRASM extensively, I want to point out that the metric is an output and not the end goal. Our team is focused on maximizing total profitability to our network and pricing decisions. In 2021, we began service to 10 new cities plus one more in March 22. Those airports range from smaller like Key West and Amarillo to larger like Doles in Minneapolis. This Silver's network will still have roughly 13% of ASMs coming from routes in the first 12 months of operations, and we've already had some incredible successes in these new ads. But we prepare our network strategy so that markets can mature over several years. Put differently, we've been planting seeds for the future. And we expect our future network strategy to look like this indefinitely with a broad mix of city sizes and destination profiles that fit our strategy and that we can expand upon. Lastly, after a test, we started in 2019, we are happy to announce that we will roll out our Allegiant Extra product across most of the fleet. While both the results and customer feedback of the product have been compelling throughout the test, the pandemic put a bit of a pause in the decision process. We have been further encouraged by even stronger results over the last 6 months and will now take all inducted as Airbus A320s and the 180-seat Allegiant extra configuration starting in the fourth quarter of this year. Additionally, all new Boeing aircraft will deliver in an Allegiant extra layout. Remember, our layout primarily involves the removal and re-pitching of rows and nothing structural, enabling a relatively easy return to maximum seat count should that be desired. Customers enjoy legroom advantages, complementary priority boarding and drink on board as well as reserved overhead bin space. This should drive an air ancillary boost into 2023 as the fleet grows. And with that, I'd like to pass it over to Greg.
Greg Anderson: Drew, thank you, and good afternoon, everyone. For the first quarter, we reported a net loss of $7.9 million. These results can be characterized by the tale of two halves. The first half of our flying for the quarter was not profitable, primarily due to the impacts of Omicron. We recorded an operating margin of negative 18% and net loss of $44 million for the month of January and February. However, the second half of our flying during the quarter was very profitable, as evidenced by an operating margin north of 21% and net income of $36 million for the month of March. This despite paying $3.46 per gallon of fuel, an increase of 40% from January. The revenue team came through as TRASM accelerated during the quarter, closing just under $0.13 for the month of March, gaining first quarter TRASM of $10.78. Excluding fuel, our unitized costs for the quarter were $7.012, and we are seeing deceleration into the second quarter. Costs were pressured during the first quarter by the $16 million in customer compensation relating to IROPs. Primarily, that was due to Omicron and $7 million for the special recognition bonus for our team members. Normally, our first quarter results would not trigger profit sharing. However, given these extraordinary circumstances in both the airline sector and the broader macroeconomic environment, our Board was pleased to guarantee our team members a recognition bonus for 2022. We have the best team in the business and our sincere thanks to each of you. Excluding this recognition bonus accrual and our IROPs customer compensation, our CASM mix would have been down or was down 0.5% compared to the first quarter of 2019. The robust demand environment and strength in sales drove a sequential increase in our ATL of $150 million, nearly 50% higher from the fourth quarter. Our strong liquidity of $1.2 billion is more than two times our ATL and 60% of 2019's revenue. Our debt balances remained flat sequentially at approximately $550 million and well below pre-pandemic levels. Turning towards the second quarter. Our guidance issued today suggests an operating margin north of 12% for the second quarter on ASM capacity growth of 12%, that's year over 3%. This guidance also assumes an average of $4 per gallon of fuel. In February, we actioned trimming our planned capacity in the second quarter by roughly 10 percentage points. And as messaged back then, these reductions were primarily driven by staffing challenges and the volatility around rising fuel costs given the uncertain geopolitical pressures. This capacity reduction does add some headwind to our unit cost as we expect second quarter CASM ex to be up 14% year over 3. This increase is primarily related to inflationary pressures and productivity. We've talked at length around inflationary costs on prior calls that I thought I'd touch briefly on productivity. To help frame this, we expect to place into service 3 aircraft this quarter, bringing our total fleet count to 115 by June 10. Based on our capacity guide, we expect the average ASMs produced per aircraft during the second quarter to be $46 million. This is 12% less production than the average aircraft during the same period in 2019, which we estimate is approximately 30% [ph] headwind to our CASM ex. While this reduced production puts pressure on our unit cost, there is a benefit to the other side of the profitability equation by driving higher yields and higher unit revenue. As Drew indicated, demand is on fire and current bookings suggest total revenue for the second quarter to be up approximately 30% and TRASM up nearly 20% as compared to the same period in 2019, which I believe segues well into our Allegiant Extra announcement. While reducing the number of seats may not fully optimize unit costs, our data suggests this initiative will be meaningfully accretive to our bottom line as we are a margin-focused company. And what gives us an advantage of driving higher margins is our unique ability to align capacity with demand given our low fixed, high variable cost structure. Regardless of the macro environment, where the high fuel, low fuel, a weak economy are a strong one, we have a proven track record of always outperforming over the long run with flexibility to bring stability. And speaking of flexibility that the hallmark around our fleet, given supply chain disruptions and MRO delays, we're going to give ourselves a little more breathing room by slowing the induction of 3 aircraft in '22, pushing them into early '23. As a result, we now expect to end the year with 124 aircraft compared to our initial plan to end with 127. Pushing these 3 aircraft in 23 should not impact our second half capacity expectations. And turning to reinvestments in the business. Our full year '22 airline CapEx guide remains unchanged. That's $260 million in aircraft CapEx. This is inclusive of our predelivery deposits, $100 million to $90 million in other and heavy maintenance CapEx, respectively. And in closing, we continue to make meaningful progress on our major strategic items and incorporating Boeing aircraft coming online in mid-2023. These aircraft are 30% more fuel efficient as measured by ASMs per gallon, our partnership with Viva Aerobus, and that's expecting - we're expecting to go on sale later this year, opening our Sunseeker Resort and approximately a year from now, the increased investments in our systems, tools and infrastructure to better support our long-term growth plans to drive higher revenue and combat costs and progress with our partner, Schneider Electric on our ESG initiatives with the intention of publishing our inaugural sustainability report later this year. And with that said, it is my privilege to turn the call over to Maury Gallagher. And Maury, on behalf of the team, we want to thank you for your mentorship, guidance and leadership over these many years. You are legend.
Maury Gallagher : Well, how do you follow that? Thank you, Greg. You've gotten a good overview from these very astute managers in the last few minutes. And as you can see, we're making very good progress on our way back to normalcy, preparing in particular for our peak flying this coming summer. And as you can see, I'm last to speak, and I suggested that should be the case because this is my last conference call. I've done 61 of these calls before to date, talking about Allegiant our journey, our exploits and our successes over the past 15 years. Deep breath. We have talked about Allegiant 2.0 numbers of times, our efforts to drive additional revenues from our current customer base, and we are the only carrier I'm aware of that talks directly to all of its customers. And to that end, we have almost 15 million e-mail addresses available to us to do that communication. And while increasing unit revenues from our then customers wallets was important strategically, we wanted to further enhance our brand, particularly in the last few years. And what was the best way to increase the awareness of Allegiant with the traveling leisure-oriented public, front and center in this effort was our partnering with the Las Vegas Raiders and the stadium naming rights. And in that process in the past 24 months, having our name on what has now become Allegiant stadium has done more to increase our brand with the traveling public nationwide than we were able to accomplish in my opinion, in the first 20 years. But just as important, these naming rights have provided us with credibility. I've heard the following statement a number of times from different people that I've talked to, wow, you own a premier football stadium in the world's greatest leisure destination, and you must be a great company. Well, clearly, we don't own the stadium. It'd be nice, but we don't own it. But we are receiving a benefit of this affiliation and in a substantially increase people's belief in us as a company that is reliable and worth trusting. Our second major trophy property will be our Sunseeker Resort due to open early next year. This has been one of the more ambitious undertakings during my time here. And there has been a great deal of pushback from many of you on the phone call today. But I'm going to make a forecast, unlike any time before, Suntakeris going to be a huge success. You can say you heard it here first. John Redmond is one of the few people in the world who could have pulled this off, including finding location, designing the building and recruiting this world-class management team that we're now assembling. And I've had the privilege of knowing John for 20 years and an even bigger privilege, larger privilege of working closely with him in the past 5.5 years. And when he joined management in 2016, neither of us understood what he might recommend, and I specifically asked him to enhance our third-party revenues, particularly hotels, given this background. But once gone located the 23-acre waterfront property in Port Charlotte, Florida, and laid out his vision and plan, I became a believer. In the coming months, you will hear about John's efforts to develop our asset-light approach. There are a number of substantial irons in the fire that will leverage our Sunseeker effort and the management talent that we have put together - John has put together. And there are some early returns on Sunseeker that we would like to share with you today, preliminary bookings and interest, and I'm going to ask John to give us some of those numbers. John?
John Redmond: Thank you, Maury. These are rather amazing to say the least. But currently, we have 1.4 million e-mails in the Sunseeker database, and we're targeting 2.5 million by year-end. Now to put that in perspective, the 3,500-room new property on the Strip resorts world after 9 months of being open had 200,000 e-mails. So we're headed in the right direction. This has been a big focus of us to have a lot of e-mails. We've also booked 226 transient reservations totaling 610 room nights to date at an ADR of $380. We modeled ADR at 255. We went on sale mid-February selling into May of 2023. The reservations were made by individuals from 27 different states, shows the breadth of our e-mail database amazing. We've also booked 17 groups totaling 21,500 room nights. The total contracted rooms, food and beverage revenue is roughly $8.3 million. The March 2022 year-to-date Southwest Florida transient ADR as provided by STR Smith Travel Research for the market set, which are 25 hotels in Southwest Florida was $638, up 38% over the same period last year for the comp set, which is a 10 hotel grouping that we track in Southwest Florida, the transient ADR was up - was $644 and up 29% over the same period last year. For the year 2021 full year, the Southwest Florida transient ADR, again, as provided by STR Smith Travel Research for the market set was $411 and the transient ADR for the comp set was $457. Again, incredibly impressive to see what's going on in Florida. I'll turn it back over to you, Maury.
Maury Gallagher: Thanks, John. This is going to be an amazing additive trophy property to us and it may not equal quite what the stadium has done for us, but it's going to be high in those ranks. So pushing our brand out there and bringing more awareness of the leisure traveling public to Allegiant as we go forward. I've spent 40 years in this industry, and this word different has been my operative word that I've fallen to all the time. And I've learned over the years, we needed to differentiate ourselves from the other 10 carriers in this industry that we knock heads with. Currently, operating a safe quality airline is a critical component of this success, but a focus on the customer has been just as critical. And I believe we've done this better than any other carrier since our beginning in the early 2000s. And going forward, Allegiant is extremely well positioned to continue to differentiate itself, not the least of what you just heard from John, from competitors and generate incremental revenue so important to our profitability. In closing, I'm an airline person at heart. The airline has been the driver of our success over the years, and it will continue to do that in the coming years. In the next 5 to 8 years, we should double our size and be able to service in excess of 30 million customers with our airline network as we grow our way to 200 aircraft. The airline is a catalyst that will drive these incremental revenues so important for our industry-leading success. In 2006, we named the company Allegiant Travel for a reason. While we operate an airline, we are first and foremost a travel company focused on providing our leisure customers with a quality experience, both in the air and soon to be on the ground. Now we'll not be leaving the company, but rather working to support the management team in the coming months in our efforts to finalize the deal with the pilots. I will be working with Andrew Robles, the President of our local here and other efforts in Washington, D.C. as we work towards a solution to the pilot supply problem. But I will be moving to the background and that's as it should be. I will continue to be on the board and certainly one of the premier shareholders as far as I'm concerned. Lastly, I want to thank all of our team members who have been the backbone of this successful effort for the past 20 years. Nothing has given me more pleasure in watching the young people who have joined Allegiant over the years, find their sea legs become knowledgeable in the fields and begin their future with this great company. And a fitting statement in being a history major, by choice in many years ago. I have called upon Mr. General Douglas McArthurs famous speech to Congress in April of 51 about his retirement. And as he said, clothe refrain of one of the most popular Barrick ballots for can most proudly, old soldiers never die. They just stayed away - and so I. Thank you.
Sherry Wilson: And with that, we'll turn it over for questions. Sherry?
Operator: Thank you. [Operator Instructions] Our first question is from Savanthi Syth from Raymond James.
Savanthi Syth: Hey, good afternoon. And congrats, Maury. I agree with Greg that you are legend, still looking forward to your contributions - continued contributions to Allegiant and the industry here.
Maury Gallagher: Thanks.
Savanthi Syth: Thanks, Maury. Just if I might, on the capacity front, given this outlook, assuming much doesn't change in the side of demand or fuel. I was curious what this means for maybe 2022 capacity. And if there's an adjustment here, should you 2023 grow from here? Or do you kind of catch up on utilization and catch up on some of the growth in 2023?
Drew Wells: Sure, Drew here. I'll start with this one. I think for full year '22, we're still looking at growth around that 20% number. I say that as Brent crossed 110 again today. So I would expect there potentially be some revision in the back half of the year if this maintains. But I still feel good about that number in general, an some runaway there. As you think about '23, I think we're moving back toward that long-term measured type of approach of roughly 10%. Again, that assumes that fuel doesn't run away, demand stay elevated, et cetera, et cetera. But I really like where we're going and in terms of getting back to that measured approach. And some of it will probably come from utilization sure.
Savanthi Syth: Makes sense. And then just can you talk about - I know some of it - and I wonder if some of the capacity constraints are related to what you're seeing in Florida and your operational impact there, how much of it is kind of driven by Allegiant internal kind of supply issues versus kind of external partner issues or even the ATC issues in Florida?
Drew Wells: Sure. A lot there, taking probably at a high level to diving in dramatically. If you think about what we did for this summer, just a little bit over half of our cuts did come in Florida, though certainly sort of the ATC and flow environment there did have an impact on our decision. I think for any peak period going forward, we're going to run utilization basically as hard as the first constraint we come up against whether it's labor, whether it's aircraft, whatever it is, demand in peak periods has always been there such that we should operate to the limit we feel comfortable with the company. Off-peak will always be driven by either the demand environment or fuel and the resulting profitability. So that's kind of a little bit of both, depending on which time frame we're talking about.
Savanthi Syth: That makes sense. Thank you.
Operator: Our next question is from Mike Linenberg from Deutsche Bank.
Mike Linenberg: Hey, good afternoon. Yes, echoing Savi's words, definitely legend Maury, you will be missed, but knowing that you're going to remain one of the largest shareholders, if not the largest, gives us good comfort. Onto my questions here. I guess this would be to Greg with respect to the - excuse me, 737 MAX deliveries. We hear from other carriers that have airplanes coming this year that aircraft continue to get put back - or excuse me, delayed because of some of the manufacturing issues that - or bottlenecks that Boeing is facing, whether it's supply chain labor, getting raw materials, et cetera. When you think about 2023, are you starting to sort of rethink the 10 aircraft coming in? Is it more of a 2024 phenomenon? And I have sort of a related question on overall economics of those airplanes? Thanks.
Greg Anderson: Mike, it's Greg. Why don't I kick it off and turn it over to [indiscernible] Yeah, where we sit today, we're still planning and expecting to take Boeing the MAX aircraft in the back half of 2023. What we're thinking about right now is the split between the 8200s and the dash 7s. So we're evaluating that. Candidly, we may look to take the 8200s first. That would be a little easier for us in terms of getting it through on the spec and through for our maintenance and the team members to get it kind of up and running, then you can leverage that work on dash 7. But I want to turn it over to BJ to give you some additional color.
Unidentified Company Representative : Yes, Mike, I guess I'd just say that we're still over a year away from the first scheduled delivery now. So we aren't hearing anything out of Boeing about potential delays. We are hearing some of that same chatter that you mentioned about their current situation. But I guess I would just point to the fact that these airplanes are coming in pretty late in the year. And so we didn't have a lot of capacity planned on those airplanes in 2023 to start with. So I think we all feel pretty good about that and look at Andrew here, but yes, we're okay.
Drew Wells: Yes. I mean we just put our winter '22 capacity out there we're going to have time to think about '23.
Mike Linenberg: Good. And then just on the economics on the airplane, we go back to late last year, early this year, the view was that the 7s, you were looking at something on the order of like $7 million of EBITDA per aircraft, and I think the 8 were closer to like $10 million. And yet we've just seen this significant surge in inflation, not just fuel, but we're dealing with labor and other like things coming in a lot higher than what anybody expected, including the Fed, right? And I'm curious where you are as you think about that $7 million to $10 million for each airplane? Or is it the view that, that's going to find its way into the fare structure and the $7 million and $10 million are still pretty good numbers to sort of use when we think about overall profitability.
Greg Anderson: Mike, no, it's a great question. It's Greg. Why don't I kick it off, and I'm sure others would like to add some commentary on that. Certainly, the rise in fuel is something to keep an eye on, and it's great that these MAX aircraft there on a block hour - I'm sorry, on a gallon basis, ASMs per gallon on an efficiency basis for fuel. They're about 30% more fuel efficient. So that obviously will be helpful for us in terms of combating the higher fuel cost. What I would say is we think that certainly on like-for-like utilization, we will outperform or out earn with the Boeing aircraft because we have a third of our network that's going to support those aircraft, and we have a 20% improvement on operating costs. So it certainly should help us continue to drive back to that industry-leading EBITDA per aircraft that we had in 2019. But there's other areas in the business. We're constantly looking at combating the inflationary pressures that you mentioned. We're doing that through systems. John talked about transformational systems. We'll see that from the back end where we can scale up more on the management side through SAP or track or with productivity, as Scott mentioned, on the - on getting a new system for our pilots and crew members, NapBlue, that should help us with scheduling and improve on productivity from that side of the house. You have also - you have our - John mentioned our Viva partnership, right, where we think there's some accretion there, assuming that gets approved through ATI. So as Maury and John have said, we're looking at growing combating our cost but also growing on the revenue side. And there's a lot of irons in the fire that we think will help us and restore and get back to that EBITDA per aircraft. And Drew, I don't know if you want to talk about the fare environment to Mike 
Drew Wells: My view looking forward is that there is a structural change in the demand environment, one that will produce a higher level of demand for quite a while that you saw in 2019. I do think that the summer of '22 is probably the pinnacle it may retrieve a little bit. But the structural change in how I think people view travel, view experiencing life has changed such that there will be a persistent upward pressure on the overall demand, whether it's fair, whether it's loans for the foreseeable future. So I do think we'll recapture some through that avenue as well.
Mike Linenberg: Great.
Maury Gallagher: The point, Michael, is we're going to buy these airplanes. And so the balance sheet will come into effect and our ownership costs are just not going to be that much higher than we would spend for a normal 186-seat Airbus. But you get all the benefits of fuel burn and things like that. So that's going to help us offset a lot of pressure on the cost side. And they're just very exceptional airplanes. If you can manage in the proper way in a sense of ownership and be in for the long haul.
Mike Linenberg: Yes. Maury, your timing, and obviously, the Greg and the team, when you bought those airplanes, it could have been more perfect and even things like the benefits of tax depreciation, and it's just a lot of things that are going to help you in ownership that I think people don't fully appreciate, but...
Maury Gallagher: Well, I'll tell you one other thing, Michael, that really helped us is, candidly, if you make a lot of money in any business, particularly this business, you've got a partner in downturns, it's called the federal government and you get all that money back. And a lot of that's sitting on our balance sheet that we paid it in taxes over the years when we made so much money.
Mike Linenberg: Yes. No, no very good. One of the few that can make that claim.
Operator: Our next question is from Brandon Oglenski from Barclays.
Brandon Oglenski: Hey, good afternoon. And Maury, very politic in to a long run here. So thank you for that. I guess, guys, can you talk to the pilot issues that you're speaking to in the prepared remarks. I think you mentioned attrition levels at the end of the year. Has that gotten worse? Or have you been able to solve for that? And what's the long-term solution here?
Scott Sheldon: This is Scott. Yes, you started to see sort of a trickle May of last year. There was a pretty bad month, I want to say, it was October. November and December settled down. I think there was a quiet period when you look at what was going on with Omicron for December, January. And I sort of view it as sort of pent up where you had back-to-back months of 20-plus pilot attrition months. But that seems to have come down a little bit. Longer term, obviously, the contract is critical to getting something competitive out in our pilot hand, something that reflects industry standard at worst. We think we have some interesting and unique concepts that will keep these guys more in a more competitive foothold as other carriers start to solidify their contracts. I think everyone has a minimal contracts with the exception of Spirit and Frontier right now. So it's going to be a moving target, but we feel if we can keep sort of the economics to the sidelines and just know that you're going to be paid a reasonable rate. We think that's sort of the mousetrap that we have to offer, which is out and back. It's a simple system, single day trips. Just the quality of life aspect is much more desirable than what other carriers have to offer. And then there's a traditional stuff like partner with flight schools and the like, but first and foremost, we got to get a contract in place.
Maury Gallagher: Let me also comment, Brandon. One of my jobs post the job is going to be working closely with the leader of the - our IBT group and working to see we can move this thing along and get ourselves in a good position sooner rather than later some of these things. We're on our second contract, if you will, and language typically in first contracts is clumsy and needs to be revised, and we've got a commitment on the other side to make things work. And it will take some time, but hopefully, we'll have some answers here in the not-too-distant future.
Brandon Oglenski: I appreciate the response from both of you. And I guess, Greg, as you think longer term about unit cost and not just specific to the pilots, but inflation is real here. Does this change the trajectory for the company?
Greg Anderson: Brandon, thinking longer term, what I would say kind of echoing some of the comments I was making before. But we, of course, right now where we said we are investing in our organization. And as Maury used the term grow, come up underneath it. And so we have an infrastructure that's larger right now. We're going to grow and come up underneath it. And I mentioned that because the goal there, as John mentioned in his opening remarks, as operational integrity and so getting back and getting - driving IROPs out of the business, that's certainly going to help on the cost side. Productivity, as I mentioned, whether that's the utilization on the aircraft, but pilot productivity, crew productivity will be helpful. We talked about the systems marketing. I think it's another one we don't - I didn't mention earlier, but we had some investments, as Maury mentioned in the stadium, that Scott Angel and his team put together also with Live Nation. Brandon, as we grow, the ASM, if you will, CASM ex will come down relatively speaking, on those items because those costs are fixed. And so you kind of combat it from that perspective. Viva, that's another example where we're working closely with Viva and their team is combating costs and where we can find synergies working together on the cost front. We're spending some time there. So we think that, too, will help. So all in all, I mean, yes, there's an absolute pressure on the cost side. But we are - we're a margin-focused company. We talk a lot about MASM [ph] here, and there's two sides to the equation. So we'll continue to focus on that, but we'll make sure that we keep a low fixed, high variable cost structure, so we can continue to outperform.
Brandon Oglenski: MASM. I love a new acronym. Thanks, guys.
Operator: Our next question is from Catherine O’Brien from Goldman Sachs.
Catherine O’Brien: Hey. Good afternoon, everyone. I want to echo everyone else's comments, Maury. It's been a pleasure working with you over the years and congratulations, Sean, on moving into the new role. So I want to come back and talk about revenue a little bit. Your revenue outlook like many of your peers is incredibly strong for the second quarter. But you don't have the same exposure to some of the business or longer-haul international recovery that's really in its early stages that some of them do. So is this strength it's just really good old-fashioned pent-up leisure demand outstripping supply and passengers is willing to pay higher fares? Or are there also some maybe some positive competitive developments where less overall domestic supply is being pointed at leisure destinations, excuse me, than it was over the last year or two? Or I know your third-party ones outstrip - is it just non-fair initiatives also taking that extra mile next quarter? I know that's quite a few questions in one. But just trying to get a sense of where you're seeing the most strength come from as we head into next quarter? Thanks.
Maury Gallagher: Sure. I think the simplest answer to that is just yes. I mean, all of the above are certainly influencing and putting upward structure on what we're accomplishing here. I think first and foremost, we've had U.S. domestic leisure travel this entire time. The demand pool is larger for that than it ever has been and being as well positioned as we are to take advantage. We're seeing the benefits of that. We'll see some in far in first quarter. Our average fare per passenger was slightly higher than it was in 1Q '19. We're starting to expand on load factors, which I think is a direct result of just that larger pool. But I think you alluded to it a little bit with the return of business internationally. I think focus around the industry is going to start to shift a little bit away from simply the leader traveler here domestically and trying to recover elsewhere that will open up more kind of more leisure field for us. So I may have lost over some things there. But suffice it to say, all of those things are true, but really is just overall core strength of the leisure demand and where we're positioned right now.
Catherine O’Brien: That's great. Thanks. And then maybe one for Greg. So your net debt is lower than it was for content really strong liquidity position. I know that you in the industry are barred from shareholder returns until later this fall. But do you think reinstating your dividend is on the table over the short to medium term? Or do they be like a little bit of incremental Sunseeker CapEx you're seeing or the MAX order, just change the calculus of how you're thinking about deploying capital going forward? Thanks so much for the time.
John Redmond: Thank you, Caty. This is John. When you look at the history, the company history of returning capital to shareholders, I think it's not a bad proxy to look at when you're looking at what company's future actions may be, but has not been a conversation we've had yet as a Board on whether or not Q4 this year or some future quarters the right quarter to start that. So that's probably the best way to look at it. But as you know, we have a history of paying dividends and buying back stock. So as I said, that's a good proxy for future activity that we would consider.
Catherine O’Brien: That's great. Thanks so much, John.
Operator: Our next question is from Ravi Shanker from Morgan Stanley.
Ravi Shanker: Thanks, everyone. Maury, I will sign on to the petition granting you legend status, so thanks for everything you've done for us. A couple of questions here, maybe a little bit bigger picture. I think one of the big debates over the last several weeks has been the point of demand destruction. And I think one of the debates in the space is whether that point is closer for a ULCC airline because the customer may be more price sensitive? Or if it is further away because the fare itself is lower. How would you answer that question? And again, are you seeing that point at this point? And kind of do you think it's closer or further away for LCC?
Maury Gallagher: First time I've heard this question, so bear with me perhaps. I would say if you look through the history of all of the environments in which Allegiant has operated, we have not seen demand destruct at any of those, whether we're in a recession, whether we're growing the economy rapidly high fuel, low fuel, whatever it is, the cost model that Greg and team maintain enabled us to be successful in any of those environments. So we can respond with lower fares as needed. We'll typically use our capacity in order to use supply and demand to our benefit to get there. If fuel remains high, we can pull capacity back and make sure we're getting the fair needed to remain profitable at the expense of some of that demand it purposely so. So I would say it's certainly farther off, if not well into the future, if I'm understanding the premise correctly...
Drew Wells: Scott. We're the ultimate demand management company. We have from the debt goes, managed demand in September and January. So we're geared for that better than anybody. But Scott?
Scott Sheldon: Yes. The only thing I would add is looking at our customer base, I know I've mentioned this on calls before, 85% of our customers when asked, what airline did you last flight or what airline do you regularly fly, say, Southwest or one of the three network carriers, obviously, beat their regional partners as well in that order. So our customers are the same as their customers. So in as much they are somewhat inelastic in their demand to airfare, so to ours. The last point I'd make, and the comment I pointed out in my prepared remarks was the significant growth of our customers aged 65 and older. Most of these are those that own second, some of them third homes that fly us out of Cincinnati, Grand Rapids, India, et cetera, many legacy markets for network carriers that upon consolidation left those areas as hubs. And they fly us because we're taking them non-stop, and they are - actually have quite amount of discretionary time and income. So I would just put that forward to say our customer base probably looks a lot different than maybe even other ULCC customer bases and would vote for the over or the further out on our customer base being impacted by the effects you're talking about.
Maury Gallagher: Maybe not to expand a little bit on what Scott was saying, a customer carrier selection is not indicative of a customer's network. They're just willing to spend more on when they get there on the experience rather than on how they get there. And in case - in our case, of course, when you have 75% of your flights are non-stop, non-competitive, in some cases, we're the only choice.
Ravi Shanker: That's very good color. Thank you. And maybe kind of a related follow-up there. Thank you for the stats on your higher web traffic. Do you have details on how many of those visits were new to Allegiant new to ULCCs in general? I'm just trying to get a sense of are you guys taking share or are you growing the pie here?
Maury Gallagher: Yes. And I think a little bit of both. The answer is yes to the first question. About half of our web visits in Q1 were from first-time users. We don't know if their first time to ULCC. We just know it's the first time we ever saw them. So that's the first one. I think there is a combination. I think that as airfares have gone up, I hypothesized that given the last comment I made about who our customers tell us they last or regularly fly. We remain still even at an elevated airfare, an attractive option versus, say, network carriers and or Southwest from a price perspective. So we could very well be seeing people, if you will, coming to us for the first time because they may be priced out and or price shopping more vigorously than they've done in the past, just given all the variety of inflationary pressures. But just the hypothesis for now.
Ravi Shanker: Great. Thank you for that. And I look forward to an Allegiant Analyst Day hosted at Sunseeker before it opens, just an idea.
Maury Gallagher: Thank you...
Operator: Our next question is from Scott Group from Wolfe Research
Scott Group: Hey, thanks. Afternoon. So you had a comment on the call that summer could be the pinnacle of demand and may retreat a little bit. I just wanted to - is that something you're seeing? Is that just a sort of a hypothesis? And if that's right, though, just maybe talk about why do you want to ramp capacity from low double digits to mid-20s in the back half of the year if demand may start to moderate a little bit?
Maury Gallagher: So when I talk about that, I think this summer is going to get the perfect storm combination of that structural change that Scott and I talked about, as well as some of the maybe more temporary pent-up from folks that haven't traveled in 2, 3 years. So it's kind of just that cherry on top, and I think will come out because holidays '21 were relatively strong. As folks said, come Hilleriwater [ph] I'm going to travel for holidays, and I'll take January off, which every airline saw on their results. So I'm not suggesting we're coming back to 2019 levels by any means that looking to remain quite elevated and quite strong, just maybe slightly moderated from what I think will be the pinnacle in summer '21. So I wouldn't run away with taking it down, but I also wouldn't run away with the continued sequential growth or something like that.
Scott Group: Okay. And what changes actually allows you to get to that from a low double-digit capacity growth to a mid-20% capacity growth? What actually changes that lets you do that?
Maury Gallagher: So I'm not sure we're midpoint. I'm thinking something about 20 for the full year. So I guess you're implying mid-20s for the back half. Some of it will be more comp driven for - to what we have in the back half of the year. We'll have some off-peak growth certainly through the August, September, October time frame, and it's a nice kind of round number for the year as well. So I don't know that something needs to materially change for us to get there. We'll have the aircraft. We believe we have the pilots in place to do it. This is purely our take on where profitability will be and what's the right level of flying for us to accomplish. And as I see it today, that's about right, it made a little downward pressure applied by another fuel spike that we're kind of seeing today.
Scott Group: Okay. And then just last thing real quick. Can you just give an update on the updated budget for Sunseeker and confidence level that this is sort of the final raise here?
Maury Gallagher: Yes. I think when you look at the world and the challenges all of us have faced regardless of industry with supply chain and cost inflation pressures, it's been tough to put an opinion as to when things may stop in terms of - and when I say stop, I mean, escalation. We think we're there now. There could be obviously some slight movement, but we think the 618 is a final number. But I always want to caution that this world is changing daily when it comes to supply chain and cost pressures. Maybe to give some additional comfort around that number, we are 75% bought out on the project and we will be 100% bought out by July 1. So over the next 60 days, we'll be buying out the rest of the project. And of course, by the Q2 call, there will be incredible conviction around a number. And hopefully, that number is still 618, and we feel real good about that number today.
Scott Sheldon: As a sidebar, you want to see an impressive building and coming together, go out to sunseekerresorts.com which is it's got a AR in it. And look, there's what's the word, there's a...
Maury Gallagher: Footage…
Scott Sheldon: Well, the drone footage, but there - there's a button you have to click...
Maury Gallagher: Project updates.
Scott Sheldon: Project updates and look at the drilling footage, it's impressive.
Operator: Thank you. And I would now like to turn the call back over to Maury Gallagher for closing remarks.
Maury Gallagher: Thank you all very much, and this group will be talking to you in 90 days. Have a good week.
Operator: And thank you, ladies and gentlemen. That concludes today's call. Thank you for participating, and you may now disconnect.+